Operator: Greetings, and welcome to the TRI Pointe Group Third Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Chris Martin, Vice President of Investor Relations. Thank you. You may begin.
Chris Martin: Good morning, and welcome to TRI Pointe Group’s earnings conference call. Earlier today, the Company released its financial results for the third quarter of 2018. Documents detailing these results, including a slide deck under the Presentations tab, are available on the Company’s Investor Relations Web site at www.tripointegroup.com. Before we begin the call, I would like to remind everyone that certain statements made in the course of this call, which are not historical facts, including statements concerning future financial and operating performance, are forward-looking statements that involve risks and uncertainties. A discussion of such risks and uncertainties and other important factors that could cause actual financial and operating results to differ materially from those described in the forward-looking statements, are detailed in the Company’s filings made with the SEC, including in its most recent annual report on Form 10-K and its quarterly reports on Form 10-Q. Except as required by law, the Company undertakes no duty to update these forward-looking statements that are made during the course of this call. Additionally, non-GAAP financial measures will be discussed on the conference call. Reconciliations of these non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP can be accessed through TRI Pointe’s Web site and in its filings with the SEC. Hosting the call today is Doug Bauer, the Company’s Chief Executive Officer; Mike Grubbs, the Company’s Chief Financial Officer; and Tom Mitchell, the Company’s Chief Operating Officer and President. With that, I will now turn the call over to Doug.
Doug Bauer: Thanks, Chris and good morning to everyone joining us on today's call. TRI Pointe Group once again delivered strong results in the third quarter, posting net income of $64 million or $0.43 per diluted share. Wholesale revenue increased 19% year-over-year to $772 million, and gross margins expanded 180 basis points to 21.3%. We generated a healthy order pace of 2.7 homes per community in the quarter, which was on par with the order paces we delivered in 2015 and '16. But was below the exceptionally strong sales activity we experienced in the third quarter of 2017. As we look at our order trends for the third quarter 2018 and into October, we are seeing a softening of consumer motivation and demand. Even though the overall fundamentals continue to point to a strong housing market, we believe home buyer demand has slowed in response to higher borrowing costs and the significant price appreciation our industry has experienced over the last few years. We believe that this is a normal reaction on behalf of the consumer, and we are closely monitoring this dynamic in all of our markets as we sharpen our focus on the sales process and ensure that our product offerings are consistent with market demand profile. To be clear, we do not feel that the outlook for our industry or our Company has been altered in the long run. With respect to the industry, we continue to see a tremendous opportunity ahead of us, thanks to a strong economy, job growth and healthy consumer confidence, which along with pent up demand from young adults, should lead to growing household formations for years to come. On the supply front, the number of new and existing homes on the market remains at low level, and finished slots availability in the core locations in which we build remains constraint. All of these factors would suggest that the new home market has grown for continued expansion, and that the current slowdown the industry is experiencing will be temporary. Against this backdrop, TRI Pointe will continue to focus on design and innovation to grow our premium lifestyle brand in the entry level, move-up, luxury and active adult product segments. We believe our steady approach to all our buyer segments and unique product offering differentiates us from the competition and meets the lifestyle needs of today's consumer. We continue to develop affordable new home solutions for all our buyers, while maintaining our land acquisition focus on core market locations. Our operations in California, once again posted solid results for the third quarter as the state continues to be one of the most undersupplied housing markets in the country, making the need for new homes and in particular affordable homes critical to its future. This bodes well for our Company as we own over 12,000 lots in Southern California, which allows us to target affordable product segment in Los Angeles, San Diego and the Inland Empire market. We have made significant progress on the planning and development of our long term California assets and are excited about the grand openings of Skyline in Santa Clarita our new active adult community office in Belmont. And a new highly desirable village in our Pacific Island's Branch master plan in San Diego. Outside of California, the long-term strategy for TRI Pointe is to maximize our existing operations and to grow our Company through both organic and M&A activity, focusing in on the Southeast and Texas. Series of adjustments, such as what we’re experiencing today often prove to be great opportunities for well capitalized companies like ours to plant the seeds for future growth. It is in time to the diversity that strong companies with disciplined management teams can take advantage of market turbulence to make smart moves and grow market share. To that end, we are very excited to announce our entry into the Charlotte and Raleigh North Carolina markets under the TRI Pointe Homes brand. This expansion will be led by Gray Shell, a proven leader in the home building industry with over 20 years of experience. This Greenfield expansion allows the time to build a best in class team that will implement the proven strategies of TRI Pointe in a prudent and capital efficient manner. We’re also excited to share that our newly minted Sacramento Division is making progress and now owns or controls over 500 loss, and will open its first community in the first half of 2019. These small bites of growth are the seeds to our strategic plan over the next decade and will further establish TRI Pointe Group as a leading homebuilder in the U.S. With that, here’s some brief color on the markets in which we build. As I mentioned, our California operations had a solid quarter with a monthly order base of 3.1 homes per community and average sales prices and gross margins above the Company average. Order activity was in line with our expectations in the Inland Empire and also Southern California, while Northern California experienced order softness in the quarter. Seattle is a great example of a market that has experienced significant price appreciation, and our margins have expanded nicely as a result. However, we have experienced a significant shift in buyer motivation. Anticipating that we may have reached an affordability threshold near the end of the last quarter, we made some adjustments to pricing to stimulate demand. As a result, our monthly order base for the quarter was three homes for community, which was higher on a sequential basis from the second quarter. In the Southwest, both Phoenix and Las Vegas, enjoyed stable market conditions. We continue to see healthy gross margin improvement compared to the same quarter in the prior year. At Phoenix, we are especially excited about the opening of seven new communities during the first half of 2019, including our much anticipated Avance community located 15 minutes from downtown Phoenix. Our operations in Colorado have really gained traction with a significant growth in orders, deliveries and margins in the quarter. This was a he result of product repositioning we implemented a year ago. In Texas, we continue to see better demand trends at more affordable price points above Houston and Austin, while pricing has remained firm in both markets. Over the near-term, we look to grow our business in Texas as we continue to see strong economic fundamentals and affordable housing. Finally, the Mid-Atlantic remains a stable market for us. We remain optimistic about the region, given its steady fundamentals and the under-supplied nature of the market, and are excited about our six new communities that we'll open in the second half of 2019. Now, I'd like to turn it over to Mike who will go into more detail on the numbers.
Mike Grubbs: Thanks Doug. Good morning. And I would also like to welcome everyone on today's call. Overall, the third quarter was marked with strong financial results as highlighted on Page 6 of our earnings call slide deck. Home sales revenue was $772 million for the quarter on 1,205 homes delivered at an average sales price of $640,000. Our homebuilding gross margin percentage for the quarter was 21.3% and our SG&A expense as a percentage of home sales revenue was 10.7%. Net income came in at $64 million or $0.43 per diluted share. For the quarter, net new home orders were down 18% on a year-over-year basis on a 2% decrease in average selling communities. Our overall absorption rate for the third quarter was 2.7, which was below last year's pace. However, as Doug mentioned, was comparable to the third quarter absorption rate we experienced in 2015 and 2016. As for our overall selling communities, during the quarter, we opened 13 new communities, six in California, four in Washington, one in Nevada, one in Texas and one in Colorado. We closed 18 communities resulting in an active selling community count of 125. Our active selling communities at the end of the quarter is shown by state on Slide 7. A quick update regarding the accelerated development and build out of our long term California assets. During the quarter and year-to-date, 18% of our net new home orders were from these assets, consistent with the same period last year. During the fourth quarter, we expect that 13 of our 19 new community openings will come from our long term California assets with the opening of four communities at Altis, our 700 unit active adult community located in Belmont, four new communities at Skyline, our 1,200 unit master plan in Santa Clarita and five new communities at Pacific Highlands Ranch in San Diego. We should start to see deliveries from those projects in the second half of 2019, which will benefit our homebuilding gross margins as our long term California assets delivered margins well above the Company average. We ended the third quarter with 2,101 homes in backlog, which was 7% decrease compared to the same quarter last year. The average sales price in backlog increased 4% to $681,000 and the total dollar value of our backlog decreased 3% year-over-year to $1.4 billion. During the third quarter, we converted 53% of our second quarter ending backlog, delivering 1,205 homes, which was an 8% increase compared to the same quarter last year. Approximately 43% of our deliveries for the quarter came from California, including 17% from our long term California assets. Our average sales price homes delivered was $640,000, up 10% from last year and up 1% from last quarter. This resulted in home sales revenue for the quarter of $772 million, up 19% from the same quarter last year. Our homebuilding gross margin percentage for the third quarter was 21.3%, an increase of 180 basis points compared to the same period last year. Our gross margin percentage increased in one of our homebuilding brands during the quarter. For the third quarter, SG&A expense as a percentage of home sales revenue was 10.7%, an increase of 50 basis points compared to 10.2% for the same period in 2017, primarily due to the impact of ASC-606 and higher selling costs. During the third quarter, our effective tax rate was 23.5%. The rate was lower than our previously stated guidance, largely due to the benefit of energy credits taken during the quarter. We expect the tax rate for the fourth quarter to be in a range of 25% to 26%. During the third quarter, we invested $193 million in land acquisitions and $113 million in land development. Year-to-date, we have invested in aggregate total of approximately $763 million in land acquisition and land development. The focus of our land acquisitions strategy is to target land for communities, which will deliver homes in 2021 and beyond. At quarter end, we owned or controlled approximately 28,400 lots, of which 57% are in California. Based on the midpoint of our 2018 delivery guidance, the number of years of lots owned or controlled is 5.5. We continue to focus on accelerating our long-dated California assets and investing in faster turning communities in our markets outside of California. The detailed breakdown of our lots owned will be reflected in our quarterly report on Form 10-Q, which we filed this week. In addition, there is a summary of lots owned or controlled by state on Page 30 in the slide deck. Turning to the balance sheet; at quarter end, we had approximately $3.4 billion of real estate inventories; our total outstanding debt was $1.5 billion, resulting in the ratio of debt to capital of 43.7% and net debt to net capital of 42.3%; we ended the quarter with $570 million of liquidity, consisting of $83 million of cash on hand and $487 million available under our unsecured revolving credit facility. With respect to our stock repurchase program. During the quarter, we repurchased a little under 10 million shares of our common stock for a total aggregate dollar amount of $139 million. As of the end of the quarter, we had approximately $61 million remaining on our $200 million stock repurchase authorization. Now, I’d like to summarize our outlook for the fourth quarter 2018 and full year. The Company expects to open 19 new communities and close out 14, resulting in 130 active selling communities as of December 31, 2018. During the fourth quarter, the Company anticipates delivering approximately 80% to 85% of the 2,101 units in backlog as of September 30. 2018 at an average sales price of $640,000. For the full year, the Company expects to deliver between 5,025 and 5,130 homes at an average sales price of $635,000. The Company anticipates its homebuilding gross margins to be in the range of 20% to 20.5% for the fourth quarter, and the full year to be in the range of 21% to 21.5%. Finally, we expect our fourth quarter SG&A expense ratio to be in the range of 8.8% to 9.2% of home sales revenue, resulting in a full year SG&A expense ratio of 10.1 to 10.5. I’d now like to turn the call back over to Doug for some closing remarks.
Doug Bauer: Thanks Mike. I’m very pleased with our performance this quarter and believe that TRI Pointe Group is well positioned to take advantage of the opportunities that arise during this period of adjustment in our industry. We already made some strategic moves to enhance our presence in existing markets and establish ourselves in new markets. And we will be evaluating other opportunities as they arise doing so in a prudent, disciplined and opportunistic fashion. While we are currently experiencing some softness in demand, I remain optimistic about the future of TRI Pointe Group. Many of our recently opened communities are performing well, and I’m excited about the prospects for our new communities that are coming online ahead of the spring selling season. As Mike mentioned, we are currently targeting land buying opportunities for 2021 and beyond. Meaning we own or control essentially all the lots for homes expected to close through 2020. Our land position allows us to deliver positive cash flow for the next several years, providing the tool to maintain a solid capital structure and liquidity. In the meantime, we will continue to operate and execute to close out the year on a strong note, making adjustments to our pricing and marketing strategies when necessary to meet the demand profile of our customers and achieve our order pace goals. Our Company's leadership is comprised of industry veterans who know how to compete effectively in challenging demand environment. This experience, coupled with our strong balance sheet, product differentiation and excellent market positioning, makes TRI Pointe Group well positioned for long term success. Finally, I'd like to thank all of our team members for their continued contributions to this success. Lost in all the noise throughout in the current trajectory of the housing market is the fact that TRI Pointe Group is poised to have our highest year of profits in our Company's history, all coming from our core homebuilding operations. This is no small fit in our competitive industry and I am appreciative of your efforts. That concludes our prepared remarks. And now, we'll be happy to take your questions.
Operator: Thank you. We'll now be conducting a question-and-answer session. In the interest of time, we ask that you please limit yourself to one question and one follow up, and welcome you to rejoin the queue for any additional questions you may have [Operator Instructions]. Our first question comes from the line of Alan Ratner with Zelman and Associates. Please proceed with your question.
Alan Ratner: Thanks for taking the question and congrats on the expansion into the Carolinas. So Doug, you mentioned I guess the price adjustments you made in Seattle, which seems to had -- at least a positive impact on the new absorption sequentially. I was hoping maybe you can give us a little bit more color in terms of what exactly did you adjust, maybe quantify that if you can. And are there any other markets where you need similar adjustments where you didn't quite see the same elasticity to the demand? In other words orders did not really increase. Just trying to get a feel for how elastic the consumer is today to discounts or incentives.
Doug Bauer: It really is the project specific, speaking to Seattle. One of our new projects that we opened at a price point that’s over $2 million showed very well, and it's a in the King County area. Whereas, some of the other projects that we were selling as prices have rose in Seattle, we adjusted through incentives and pricing anywhere from the mid-single digits to high as 10%, just to stimulate demand. Once we got there, we found the momentum. I was actually out walking the track and it was one particular project we actually had to make that adjustment. It's not like it's across the universe is my point. And the sales people are really back to not taking orders and they’re selling homes. I mean, you’re grinding out sales. I mean this is very normal to the homebuilding business and I think as we reflect back, 2017 was probably the peak of the selling season.
Alan Ratner: And I guess just on that point, I mean, it’s know just one specific community, but that’s a big adjustment. And one thing we hear a lot from builders is really reluctance to make those types of cuts, because of the backlog and protecting the backlog and making sure you don’t have a spike in cancellation. So A, I guess, how did you avoid that in this particular situation; and B, when you look at the success you had there, is there a thought as perhaps becoming more aggressive in some of the other markets where your sales pace has pulled back, I think in Northern California, for example, or are you already doing that? Thank you.
Tom Mitchell: It’s important to note that that specific example in Seattle was really relative to a new community opening. And so we didn't have that backlog but we immediately recognized when we came out with a lack of demand that we could make it shift and make that happen. Most of our other operations and projects throughout all of our areas we've really implemented more promotional activities, make your move type events that are really more incentive focused. In particular, we had some success relative to financing incentives and locking in some good financing providers that seem to have stimulated demand.
Alan Ratner: And if I could just squeeze in one last one, just in terms of the timing of when these incentives have come under wraps here. Is this something that really gained steam towards the end of the quarter into October? Or was it in place for most of the third quarter?
Tom Mitchell: No, I’d say it was later in the third quarter that it began to be evident that we needed to increase and stimulate demand.
Doug Bauer: And just to add a point on the incentives as a company. And again, we’ve been through these market changes before and they’re not -- you can’t paint a brush on it. Many of our market are moving along at a good pace, but interest rates have gone up. Pricing have gone up for several years. So everybody has got to be when it comes to sales and marketing. But as a company when you look at our sales incentive per delivery as a company, it actually went down 50 bps went from 3.9% to 3.4%. So are you going to continue to have to grind out sales going forward in 2019? I am not trying to sugarcoat it. Yes. I mean, that’s the market we’re in. But we’ve been doing this for 30 years. We’ve got one of the most experienced management teams at all our brands. And so they're very motivated and excited about hitting their results going forward to the end of the year and into next year, it’s just -- it’s back to blocking and tackling in the fundamentals with selling homes and building them.
Operator: Thank you. Our next question comes from the line of Stephen Kim with Evercore ISI. Please proceed with your question.
Stephen Kim: I wanted to follow-up a little bit on the incentives. I think Doug you just mentioned that this is normal, I mean, as you pointed out over the many, many years of operating in the business. Every customer always like to feel like that they get a deal. And so to a degree, there’s a normal range of incentives. In general, where would you put that range of incentives versus where we are today.
Doug Bauer: Well, what’s normal? I’ve been doing this for 30 years, as I mentioned, and I’ve never been through any an adjustment in the housing cycle that’s normal, Stephen. But typically, we just pick on Texas, just pick on in Houston. As the oil crisis went through that area for several years and incentives range from 7% to 9%, I would say, typically, roughly speaking, as an average, let's say 3% to 5% is a broad range. But all cycles are different. Each project you have to manage individually to meet its pace goals. So, it’s really hard to paint a brush on it.
Mike Grubbs: Stephen, this is Mike, just to give you some color on that. What we delivered in the third quarter, the average incentives was 3.3%, so roughly speaking, that’s $20,000 a house. Clearly, it’s different and different markets. But we would expect that number to go up, I would, as we deliver houses in the first and second quarter.
Tom Mitchell: But again, it's well within a normal range from what we’ve been experiencing. When we have softening demand, we need to incentivize the consumer to jump in and it’s very typical.
Stephen Kim: If you could talk a little bit about the broader market environment; one of the things a little different this time, I’m guessing, is the degree to which you have competitors in the market that has gone to great lengths to standardize their product and even embrace spec building to a greater degree than maybe we’ve seen in the past; obviously, a lot of reasons for that. I was curious whether or not, first of all, whether you’re really bumping up against that in your price points, or largely you size stuff by virtue of your price mix. And to the degree that you do see it, do you see that as limiting their ability to where the markets will be generally, to operate through incentives, because not that many levers to pull when you a standardized product. In other words, is it hitting the ASP quicker, the actual reduction in the ASP?
Doug Bauer: Obviously, there’s -- some of the larger builders have definitely gone to more of a standardization but our buyers in our universe is really focused on offering strong design, innovation and options to their buying process, and that experience really differentiate ourselves. And frankly at our price point from entry level to move up the luxury and active adult, I mean, that’s a huge differentiator for us. Not only is this a huge differentiator with us for the customer but also with the trades and the land seller. So, as I mentioned before, we’re going to stick to our steady approach being well diversified, affordability in the core market is a relative term. And we'll continue to focus in on that, and that means that we’re going to build to design products that are attached smaller square footage is. But it's at that right price point, whether you're in Orange County, Austin, Phoenix, DC.
Stephen Kim: And then last one from me regarding margins, generally, a two part. Lumber pricing, and obviously, come back a lot. Different builders have little bit more of a lag time between when they might actually see that. I’m guessing you guys probably be on the later side. What I'm trying to figure out is that, are we more likely to see that for you guys to benefit in 2Q next year, or would it start showing up in 1Q? And it would be reasonable to think the lumber package is in that 3% to 5% range of selling price, or just to get back, I shouldn't give you a range. If you could tell us the lumber pack in general. What percent of the selling price is it for your homes? That was a lumber question. And the second one is, remind me, I think you told me that attach products does not have necessarily a lower margin when we were out there recently. Can you just revisit that, when we hear you say attach products, should we be thinking any margin implication there?
Tom Mitchell: Stephen, this is Tom. I'll take some of that and try to hit on all of it. Relative to the attach product, first, it definitely does not have a lower margin. The reason we're interested in attach product in a lot of our markets is because it provides a more affordable opportunity and a lower ASP that's going to relate to a broader segment of the market. So, that's the reason behind our push there. And we're finding that it has equal margins to our detach product as well. On the cost side, you're right. Lumber has been a big benefit to us lately. We do expect to see some of that benefit in the beginning and late in the first quarter of next year. But I'd caution you to not think that it's going to be automatically a windfall to the bottom line, because we still are fighting significant cost increase tariffs. I don't expect it to have a huge impact to our margins, going forward.
Stephen Kim: Just to I am clear, you're are specifically referring to the combined cost picture, not factoring in any incentives that you would have to do, right? So borrowing any…
Tom Mitchell: Correct….
Stephen Kim: Okay, got it. Just want to make sure…
Tom Mitchell: Correct, the lack of pricing power is going to have an impact on that as well.
Operator: Thank you. Our next question comes from the line of Stephen East with Wells Fargo Securities. Please proceed with your question.
Stephen East: Doug, just looking at California, the absorptions were down pretty significantly. Can you talk a bit more about what you think the drivers are? I mean, I sit here and look at it and when we walk that market, we heard the international buyers had really pulled out to a significant degree. How much of it is that? How much of it do you think is true affordability versus just sticker shock that the consumer needs a little time to work through, if you will? And are you really seeing the consumer do anything differently other than hesitate on the actual purchase? And then could you expand a little bit more your strategy to combat it. I know in the short run, it's primarily incentives. But as you look out into the spring selling season and into '19, you mentioned some attached. Is there anything else that you all might do to change what's happening in the business?
Tom Mitchell: California is a big part of our operations. And again, we had such a strong first half of the year. I do believe a natural reaction to what's happening when you combine rates and sticker shock is an appropriate way to put it. Certainly, the lack of the international buyer has had an impact. They’re less prevalent now. They're not completely out of the market. But they are significantly reduced from what we're seeing a year ago at this time.
Doug Bauer: When you look at the sales pace in California 3.1, I mean, that’s still very solid. And going far -- as far as going into the first quarter, you’re not going to change a lot in product going in first quarter. Where we had a huge advantage, Stephen, is going forward into the rest -- the later part of ’19 really into 2020, by us controlling these 12,000 lots in Southern California. Those programs whether it's Skyline, offices active adult, PHR is obviously going to be move up, we have a several other communities that we’re on in San Diego. They all provide affordable product alternative. And we’ve a land basis that gives us a significant advantage. California is housing constraint. Yes, I mean, house prices have risen over the last few years due to lower interest rates. But we’re pretty blessed with a strong balance sheet but most importantly land that we own that we can design and build affordable product, going forward. But it’s not going to magically happen in the first quarter, I’d say that. I mean, it is timing process.
Tom Mitchell: Just to add to that, just so that everyone knows it. 100% of our margin -- our absorption degradation came from our entry-level product. We’ve absorbed better in our move up, luxury and active adult but primarily related to product availability in that market segment. And that’s why Tom is talking about going to more of a dash product that we've got price point back down. We just absorb really well in our entry-level product in all of our markets in 2017.
Stephen East: And then the can rate jumped up. I was wondering to understand how much of that is the inability to qualify versus people getting cold feet, if you will. And then when you look at your backlog, gross margin versus what you produced in the third quarter. What type of delta are you seeing there?
Doug Bauer: On the can rates, Stephen, I'd say the most significant factor there is really the inability for some of our contingent buyers to convert the sale of their home in a timely manner. So obviously, we’re getting closer to year end and wanting to make that year end goal and plan. We’re cleaning that up. But there has been an increase in retail inventory and I think that market has slowed as well. So, a big part of our success, going forward, is going to be how we manage that contingent buyer.
Tom Mitchell: Yes, and our backlog margin, Stephen, for the fourth quarter actually outside of our range that we just provide but we still have some units to sell and we just assumed with the additional incentive that margin is going to come in a little bit.
Operator: Thank you. Our next question comes from Jack Micenko with SIG. Please proceed with your question.
Jack Micenko: First, a high level question. I hear you’re changing some of the product targeting and it’s going to take some time, maybe 2019, 2020. Thinking about the 5.5 years of inventory what’s happened in the last several quarters changed your view on whether 5.5 is the right number 5, 4, something along those lines.
Doug Bauer: So, I mean that 5.5 is a interesting number, because it’s heavily skewed by the California 12,000 plus lots that we own. So, you really got to break it down, Jack, to each individual area. And some of our divisions are actually very under-supplied in the one to two year range. And generally speaking, if you take out the party California long dated assets, they’re really around that two to three level. So, we’ll continue to manage that level. So I don’t -- you really need to dissect that 5.5 that’s obviously we do the math for you but you really got to break it down by division and by company. And we have a slide in the deck that breaks it down by brand -- Slide 30.
Mike Grubbs: But fundamentally, the recent costs have not changed our shift and what we feel is the right level of inventory to be carrying forward.
Jack Micenko: And then Mike, I guess more specifically on the G&A and 606. I was in an impression that it was a beginning of the year event that we have G&A numbers to come in the back half. Is there something around 606 that is hitting more on the back half? And then can you give us maybe what the dollar amount would be, so we can figure out what maybe the give-up on margin was versus G&A side?
Mike Grubbs: Yes. I mean we do look at the 606, so the impact of continuing impact as we open new communities. And so we’re -- this quarter, we’re 150 basis points higher year-over-year and that’s primarily related to the 13 California communities that are coming out, as I mentioned, 13 and the 19 California community are coming from the long-term assets. And more specifically, five of those from Pacific Highlands Ranch, those are highly amenitized models where you put a lot of dollars in upfront. So that’s a pretty big impact. Overall, when you look at it, I think year-to-date, it’s about 80 basis points difference. And that math is in the 10-Q if you want to see it. We do have what the numbers would look like without ASP 606 the reconciliation.
Doug Bauer: And Jack, I wanted to add one point on your land question. And we pointed this out in the earnings call script that we went over. We're in great shape for deliveries for 2019 through 2020. Our focus is going to be on generating positive cash flow to allow us to have the capital levers to do what is appropriate to increase and protect shareholder value over the long-term. So we’re very -- we’ve been to this party before, so to speak and we’re very confident in our balance sheet going forward and in our position for the next couple years, is in excellent shape.
Operator: Thank you. Our next question comes from the line of Nishu Sood with Deutsche Bank. Please proceed with your question.
Nishu Sood: First question on the ASP for the third quarter, it came in stronger than expected. I think stronger than you've indicated. Just want to understand the driver of that. Is there some mix effect that drove that in terms of higher price point deliveries? Or is that still just reflecting the stronger or pricing environment early this year?
Tom Mitchell: It’s a little bit of both an issue. It’s a little bit of both. The mix did have some impact on it as well. And you could see our backlog margins continue to grow as well.
Nishu Sood: And you mentioned the long-term California assets as they -- the ones you're opening now. As they deliver in the second half of '19 that those communities carry higher than Company average gross margins. So, I just want to understand is that -- how do those new communities' gross margins compared against what's likely to close out? So does that offset matter of effect? And then, obviously, there is pricing pressures here. So just want to understand the way of that gross margin lift relative to other factors that are going on. How much that's going to carry through as we get to second half of '19.
Tom Mitchell: I think, we're not really giving guidance on our overall margins for '19 yet. But you should see margins probably lower in the first half of the year and then higher in the back half of the year, because of the expected deliveries coming from these newer communities. We mentioned historically the long term California assets generate margins well in excess of the Company average. And they're typically at higher ASPs. So the waiting of that has a pretty good impact on our overall gross margins. Right now, we have currently about what 17 communities I think open from the long term California assets, 13 of that they're -- clearly during this period, they will also be some of that close out. But I think that the shared volume of communities coming from the long term assets is going to a greater percentage than it was this year, so it would have some impact and a positive pressure on margins.
Nishu Sood: So even weighting it overall against what you're delivering on the long term assets, you'll have more opening than closing. That will obviously be a positive for us for margins. But then what about as well -- from previous conversations, I understood that your lower price point long term assets in California don't necessarily -- they have obviously great margins but maybe not as high as some of the really high price points ones like PHR. So is that a countervailing effect as well?
Tom Mitchell: A little bit, I mean, not too many of the long term California assets have margins below the Company average. I think most of the ones that we're opening u will have margins in excess of the Company average.
Nishu Sood: Got it, thank you…
Doug Bauer: And then, Nishu, relative to PHR offerings, I mean, we have a lot of product coming to the market. This will be the highest number of active communities that we will have at any point in time. And it is by far in our best village of PHR. So, we're really optimistic about those new offerings.
Operator: Thank you. Our next question comes from the line of Mike Dahl with RBC Capital Markets. Please proceed with your question.
Mike Dahl: I wanted to follow up with the first question just around the product discussion and then specifically relating to the long term assets opening up in the 13 communities, and to the earlier comments around looking at on the front end of communities adjusting strategies on pricing. Could you comment on whether you've looked at or made any adjustments to the 13 new community openings from the long term assets? And then also related to that just remind us what the average price point is in those? I know it's in the queues I just don't recall off hand.
Tom Mitchell: Those price point is really vary by project and so you've got a real dichotomy between PHR at the upper end with all our new product offerings being over $1 million and then out into our Beaumont offerings with our active adult introduction starting in the mid 300. So there’s a pretty big band there. And then relative to the offering overall, again, we’re very optimistic but we really haven’t changed strategies. We are wanting to make sure that we’re coming to market with attractive pricing to gain momentum at these new projects, which is critical to get off to a good start. But we really aren’t implementing any different strategies at the opening of all our new product offerings.
Doug Bauer: I will add to that, Mike. Skyline, I noted in the earnings call that we’re opening here in November that’s been in the planning stages for some time. And that does a forward product hikes in a more affordable price range to the LA County buyer. So we’re very excited about that. That was all planning that’s gone on for the last six to 12 months prior to the opening. Then you look forward and you look forward to some of the other long term assets that we have, both in the Inland Empire and San Diego. We have the ability to further plan those for affordable price points. We’ve done all kinds of planning with our Banning asset next door to Beaumont and you get down to Otay and Meadowood. All the projects that are in the queue, that’s where we have distinct advantage of designing and building product at a more affordable price point for many years to come in a very supply constraint market. So, we definitely have a huge advantage there going into those markets for the next several years.
Tom Mitchell: Mike, one more thing to add, just getting some perspective. The average sales price of our year-to-date deliveries so far in the long term California assets are 778,000. Last year, that was 569,000. So I would expect as we move forward that number is going to grow by a little bit that weighs into PHR.
Mike Dahl: My second question then relates to some of the comments around the incentives picking up towards the end of the quarter and then thinking about October and understanding the month is not over yet. But when you think about the incentive and just your overall product strategy for that matter, the demand response is just having the intended effect. Could you give us color on just how the first few weeks of October are trending? If I look at the last two years, you had a lot going on both years; ‘16 you were pretty flat, October to September in terms of absorption rates; last year, you obviously had a really strong September that you were comping against, so it’s a little different. Just any directional commentary you can give us on October would be great?
Doug Bauer: Yes, I would say, it’s still a grind. With higher interest rates and the consumer adjusting to those rates with the pricing that's gone on that has increased for years, I would say going into the -- I mean not only is it seasonal. You obviously have a seasonal period that you’re heading into right now. But it’s a grind. I mean, there’s no more order takers and we’re going to have to fight and scratch for everything that you earn out there. So the sales force and all our teams are going to earn their money, going forward.
Operator: Thank you. Our next question comes from the line of Carl Reichardt with BTIG. Please proceed with your question.
Carl Reichardt: Doug, you mentioned M&A looking at deals in Texas and the Southeast, I think you referred to. You talked earlier this year you were talking about more private deals coming over the trends but pricing that was not attractive. Has that changed much in the last six to nine months as the change in business become to change the perspective of private to you might be interested in those markets?
Doug Bauer: In select cases, yes, I would say that there’s a slow realization that we're in market adjustment period. So, we’ve been very active and looking, as I mentioned over the past year and everybody, I'd say we were like over 15 or 20, because we’ve stayed very disciplined. But I would say there’s definitely some adjustments going on, going forward. And as I mentioned this is when companies with strong balance sheets can make a big adjustment. And again, you’re crawling before you walk, walk before run -- I don’t know. But we’re definitely going to take advantage of it, because the TRI Pointe company, I believe, Texas has a huge area of growth for us. We’ve got a strong economy, affordable housing. And as you know, you look at the map in U.S. we're not in the Southeast. We’re very excited about bringing Gray Shell on-board and spending time building our brand there at more affordable price point. So, definitely some cracks in the armor for some of the small private.
Carl Reichardt: And then to go back to Steve's comment or question about the international buyer, I’m trying to understand. Is this a reason for offshore buyers who are effectively investors/speculators in homes, or is this an issue may be connected to H1B Visa or something like that? I just want to get some clarification as to specifically what weakness in say California Washington tech quarters you're seeing from that customer.
Tom Mitchell: Carl, this is Tom. We really haven’t seen or heard in our sales offices any implications of the H1B Visa. So, it’s not that. It’s more of the former as you described. And it’s really that an international investor oriented buyer that we’ve seen a reduction in.
Operator: Thank you. Our next question comes from the line of Alex Rygiel with B. Riley FBR. Please proceed with your question.
Alex Rygiel: You provided some great guidance with regards to a number of new communities opening in 2019. Could you summarize that again for us and quantify it in total for the Company and discuss a little bit of the cadence to help us model?
Tom Mitchell: Are you referring to fourth quarter, Alex? You cut out a little bit on your question.
Alex Rygiel: I am referring to 2019 and the cadence…
Tom Mitchell: We really haven’t given any guidance yet on 2019 on community count growth. So, we haven’t provided anything yet. We just provided what our fourth quarter community counts were but I would expect that 2019 is going to be relatively 4% to 5% community count growth.
Alex Rygiel: And then as it relates to options and land premiums. Can you talk about how those have changed in light of some of the incentives increasing?
Tom Mitchell: I mean, options as a percentage of our overall sales price for the current quarter, we're 11.2% and that compares to 9.9% in 2017 for the same quarter.
Alex Rygiel: Thank you.
Doug Bauer: That's a strategy that we’re hoping to capitalize on and differentiate ourselves through customization and personalization for our consumer. And we can see that as a highly profitable component of our business and something that really enhances the customer experience and their satisfaction. So, we do have intentional focus on that, going forward.
Operator: Thank you. Our next question comes from the line of Jay McCanless with Wedbush. Please proceed with your question.
Jay McCanless: The first question I had. What are the orders month-to-date for October and how does that compared to last year?
Tom Mitchell: Well, as Doug just mentioned, orders for October currently are tracking at about 2.0.
Jay McCanless: And how does that compared to last year?
Tom Mitchell: I think as you look at the slide deck, last year would have been much higher 2.95, 2016 was 2.83. 15 of our 19 new communities are going to be opening in November. So, we should see a pretty good bounce back in November.
Jay McCanless: And as a second question I had, just thinking about the expansion into Carolinas. Can you talk about the cadence of that and what type of impact should we expect the gross margin, because it seems like that face value might be another drag on gross margin right at the time we don't need?
Tom Mitchell: So there is no drag on gross margin. I mean, it's a slow march over the next two to five years. So, I mean it's minimal. And in organic start up you've really got overhead costs that you're starting with and you surely building into a team and a pipeline.
Jay McCanless: And then the last question I had is in terms of the incentives. It sounds like most of which are doing on is going to affect COGS line. What about outside brokers you don't having to pay more to them? And if so, would that show up on the SG&A line?
Tom Mitchell: Our outside broker sales have remained constant. But again, in a more challenging environment that is an area where you could expect to see some increased cost.
Operator: Thank you. Our next question comes from the line of Alvaro Lacayo with Gabelli and Company. Please proceed with your question.
Alvaro Lacayo: Just wanted to go back to the comments around identifying the price threshold in Seattle and the pricing adjustments you made to drive sequential improvement. Can you just maybe talk us about the different things you're looking at in terms of how you identify those thresholds? Is it just a question of absorption or are there other elements? And then when you apply that to Southern California, maybe talk a little bit about what the thresholds are there, how closely you are to them. And what that might mean going forward in terms of potentially incentives and pricing?
Doug Bauer: In Seattle, in particular, it's a case-by-case, project-by-project analysis. And our marketing strategies, which can include incentives and other marketing strategies to sale homes, it's all about meeting the pace. I mean, we're focused on pace here and we play with the dials of incentives. We play with marketing a game plan throughout sales game plans. I mean we’ve been very successful with the financial and we’ve had some great success with buy downs and forward commitments that we bought. So you play with all those levers to get to a pace.
Tom Mitchell: And typically, Alvaro, I’d say we’re targeting that three a month pace. In some instances, we might be up to four months. So we’re looking actively in real time, analyzing what our absorption paces are and we’re going to implement pricing strategies to maintain those paces.
Alvaro Lacayo: And then just as you look at your footprint on the back of rising rates and you think about affordability, I mean what momentum, from a order pace perspective, are you seeing in states where average selling price has been more stretched versus not? And is there a widespread, because I also look at the improvement you guys had in taxes. And just wanted to think about on the back of the fact that rates will probably continue to rise, and if the expectation on order pace by segment -- by geographic segment, or if it’s just more of an overall footprint situation?
Doug Bauer: Well, when you look at the absorption pace throughout the country, I mean, it varies by geography. You definitely had higher price appreciation and the consumer has adjusted to a slower motivation in Northern California, Seattle. But many of the other submarkets have continued to move along at a good pace. And again, we're always targeting about three a month other than our Texas operation, which is really around that target of 1.5, w a month. So I mean that’s our target going into ‘19 and we'll continue to play with the dials to get that pace going forward.
Operator: Thank you. Our next question comes from the line of Scott Schrier with Citi. Please proceed with your question.
Scott Schrier: I just want to follow-up on some of those Texas comments with respect to Trendmaker. I recently saw some of your products up in Briglin very interesting, looks like you’re continuing to make strides in Texas, both in orders absorption pace. Can you talk a little bit about what you're seeing? Are you seeing more pricing power? I know there has been a lot of talk about incentives. Is that a market where maybe you’d have to give a little bit incentives? And just in general, in the market as you move away from downtown into some of those areas. Are you still seeing a lot of demand around that -- the outside of Houston?
Doug Bauer: So you talked about Houston. One of our strategies has been, Scott, to diversify into some more affordable price points, focusing on lot sizes in that 50 to 60 foot category. And you'll see our ASP, on average, come down over the next couple years. Our incentives in Houston actually came down about 3 bps from ‘17 to ‘18 -- 30 bps. But that’s still in the that 8% to 8.5% range in Houston and you’re seeing a very competitive market place at that more move up product, that’s for sure.
Tom Mitchell: If you’re just looking at the comp improvement year-over-year, it’s really -- I mean our absorption really hit our expectations. I mean, the comp is pretty difficult with the hurricanes last year and just a tougher market in Houston. So it’s not like we’re blowing absorptions out of it -- in Houston.
Scott Schrier: And then just on some of your prepared comments on difficulties finding finish lots, and I know you’re talking about a long cycle from a macro fundamentals perspective. When you look at your land acquisition right now in some of those core areas, are you finding it more difficult to underwrite deals? And just a segway to that North Carolina as you think about ramping up your land there? How is the environment there? Are you seeing land deals becoming difficult or do you think you’re able to flip the numbers?
Doug Bauer: So we’re just getting going in the Carolina market. So, I’d tell you the land acquisition strategy and changing market conditions actually gets more challenging for the land acquisition teams, because we remain very disciplined in our underwriting and in our standards to meet returns for the company and shareholders. So, having been through this a number of years, it always has the land sellers' legging the adjustments that are going on in the business. And that typically takes six to 12 months for that adjustment. And that’s where disciplined experience management teams have the pretty strong success. I used to phrase hanging around the hoop and we'll continue to be very disciplined, whether it’s Carolinas, Phoenix, Texas, so it’s throughout the nation. I mean, there is adjustments going on in the business and you got to be disciplined in how you underwrite new land deals.
Operator: Thank you. Our final question comes from the line of Alex Barron with Housing Research Center. Please proceed with your question.
Alex Barron: I was wondering if you guys have found any one type of incentive that would be working better than another in this environment. In other words, is this better to raise broker commissions or off the rate buy downs, or closing costs? What’s been working for you guys, if anything?
Doug Bauer: Definitely, it's the financing incentive. Whether it’s a rate by down or repurchase forward commitments and offering those type of financing programs has been a strong driver for us in many of our markets.
Alex Barron: And then as far as the share buyback activity, and as you look forward to this, I guess, software environment. Is that something we should expect going forward? Or was that more of a one-time thing you think?
Tom Mitchell: Well, I mean, we have $200 million authorization out there and we spent about $139 million of that. I think we’re going to continue to balance the use of our capital between gross capital and returning capital our shareholders, as well as potentially pay down debt. So, we’ll be opportunistic from that perspective.
Operator: Thank you. We have reached the end of our question-and-answer session. I would like to turn the call back over to Mr. Bauer for any closing remarks.
Doug Bauer: Well, thanks everyone for joining us on today’s call. And I want to wish everybody a great pre-holiday season wish, and we look forward to talking to you after the New Year. So, thank you very much.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time.